Operator: Good morning, everyone and welcome to the MYR Group Second Quarter 2015 Earnings Results Conference Call. Today’s conference is being recorded. At this time, for opening remarks and introductions, I would like to turn the conference over to Philip Kranz of Dresner. Please go ahead, sir.
Philip Kranz: Thank you and good morning everyone. I would like to welcome you to the MYR Group conference call to discuss the company’s second quarter results for 2015, which were reported yesterday. Joining us on today’s call are Bill Koertner, President and Chief Executive Officer; Paul Evans, Vice President and Chief Financial Officer; and Rick Swartz, Senior Vice President and Chief Operating Officer. If you did not receive yesterday’s press release, please contact Dresner Corporate Services at 312-726-3600 and we will send you a copy or you can go to www.myrgroup.com, where a copy is available under the Investor Relations tab. Also, a replay of today’s call will be available until Wednesday, August 12, 2015 at 11:59 p.m. Eastern Time by dialing 855-859-2056 or 404-537-3406 and entering conference ID 90026573. Before we begin, I want to remind you this discussion may contain forward-looking statements. Any such statements are based upon information available to MYR management as of this date and MYR assumes no obligation to update any such forward-looking statements. These forward-looking statements involve risks and uncertainties that could cause actual results to differ materially from the forward-looking statements. Accordingly, these statements are no guarantee of future performance. These risks and uncertainties are discussed in the company’s Annual Report on Form 10-K for the year ended December 31, 2014, the company’s Quarterly Report on Form 10-Q for the second quarter of 2015 and in yesterday’s press release. Certain non-GAAP financial information will be discussed on the call today. A reconciliation of this non-GAAP information to the most comparable GAAP measure is set forth in yesterday’s press release. With that said, let me turn the call over to Bill Koertner.
Bill Koertner: Good morning, everyone. Welcome to our second quarter 2015 conference call to discuss financial and operational results. I will start by providing a summary of the second quarter results and then turn the call over to Paul Evans, our CFO, for a more detailed financial review. Following Paul’s discussion, Rick Swartz, our Chief Operating Officer will provide an overall industry outlook and discuss some of MYR Group’s opportunities going forward. I will then conclude with some closing remarks and open the call for your comments and questions. In the second quarter of 2015, revenues, gross profit, EBITDA, net income and diluted earnings per share grew compared to the second quarter of 2014. Revenues increased 20.8% to $276.5 million in 2015, while net income and earnings per share increased 4.3% and 5.6% respectively compared to the second quarter last year. As previously reported, we acquired substantially all of the assets of E.S. Boulos in mid-April. Boulos is one of New England’s largest and most experienced electrical contractors, which enhances our T&D presence in the Northeast and further expands our C&I presence outside of our existing markets. We executed our first contract to perform construction services in Canada and have commenced work on a large substation in Northern Manitoba. We believe this project provides us with a strong foundation to compete for additional projects and what we believe will be a market with a number of good opportunities. To further support the company’s overall strategy and Canadian efforts, the Board bolstered its expertise with the appointment of two new board members effective at the end of July. Kenneth Hartwick and Donald Lucky have extensive energy industry expertise as well as considerable international experience. We believe Ken and Don will add significant value to our organization. On July 30, we increased our share repurchase program from $25 million to $42.5 million and extended the term of the program through August 31, 2016. I would also like to note that MYR stock was added to the S&P Small Cap 600 Index at the end of June. We believe this will enhance our visibility within the capital markets. We remain optimistic about both our T&D and C&I business segments and believe there will be plentiful bidding opportunities both near and long-term going forward. Now, Paul Evans will provide details on second quarter 2015 financial results.
Paul Evans: Thank you, Bill and good morning everyone. As Bill stated earlier, the second quarter of 2015 was highlighted by increases in revenues, gross profit, net income, earnings per share and EBITDA compared to the second quarter of 2014. Our revenues for the second quarter of 2015 were $276.5 million, which represented a $47.6 million increase or 20.8% increase compared to the same period in 2014. The increase was primarily due to higher T&D revenues in jobs of all sizes and the acquisition of ESB. On a consolidated basis, material and subcontractor costs comprised approximately 33% of total contract cost in the second quarter of 2015 as compared to approximately 31% in the second quarter of 2014. Compared to 2014 second quarter, T&D revenues increased $34.2 million to $200.6 million, while C&I revenues increased $13.4 million to $75.9 million. Focusing on the T&D segment, revenues were $150.5 million for transmission and $50.1 million for distribution in the second quarter of 2015. This compares to $132.7 million for transmission and $33.7 million for distribution for the second quarter of 2014. The increase in transmission revenue was primarily due to an increase in the number of jobs of all sizes, while the increase in distribution revenue was due to an increase in smaller projects and alliance agreements. Material and subcontractor cost in our T&D segment comprised approximately 27% of total contract cost in the second quarter of 2015 compared to approximately 25% in the second quarter of 2014. In the second quarter of 2015, revenues from our transmission business were 75% of total T&D revenues compared to 79.8% in the second quarter of 2014. T&D revenues from our distribution business were 25% of total T&D revenues for the second quarter of 2015 compared to 20.2% in the second quarter of 2014. Growth in distribution revenue was broad-based and reflects both increased spending and higher market share in certain markets. C&I revenues increased by 21.5% to $75.9 million in the second quarter of 2015 from $62.5 million in the second quarter of 2014, primarily due to the acquisition of ESB. Material and subcontractor cost in our C&I segment comprised approximately 47% of total contract cost in the second quarter of both 2015 and 2014. Our overall gross profit in the second quarter of 2015 was $31.7 million compared to $30.5 million in the second quarter of 2014. The increase in gross profit was primarily due to higher revenues and recognition of contract performance incentives. Our gross margin was 11.5% in the second quarter of 2015 compared to 13.3% in the same quarter of 2014. The decline in gross margin was primarily due to the year-over-year change in the estimates of gross profit on certain T&D jobs. For the second quarter of 2015, contract performance incentives provided a gross margin benefit of approximately 1%. For the second quarter of 2014, cost efficiencies, additional work and effective contract management resulted in improved contract margins on several transmission projects and provided a gross margin benefit of approximately 1.9%. The remainder of the variance was primarily due to several underperforming projects in the second quarter of 2015. Second quarter 2015 SG&A expenses were $18.9 million compared to $18.1 million in the second quarter of 2014. This was primarily due to higher personnel costs to support operations and ESB acquisition costs. SG&A as a percentage of revenues was 6.9% for the second quarter of 2015, down from 7.9% for the second quarter of 2014. Second quarter 2015 EBITDA was $22.3 million compared to $20.7 million in the second quarter of 2014. Our provision for income taxes increased to $4.7 million in the second quarter of 2015 compared to $4.6 million in the same quarter of 2014. Our effective tax rate for the second quarter of 2015 was 37% compared to 37.4% in the second quarter of 2014. The decrease in the effective tax rate was primarily caused by lower state taxes due to changes in the mix of business between states. Second quarter 2015 net income was $8.1 million or $0.38 per diluted share compared to $7.7 million or $0.36 per diluted share in the second quarter of 2014. Shifting to our first half 2015 results, revenues increased $76.1 million or 17.1% to $520.6 million compared to $444.5 million for the first half of 2014. The increase was primarily the result of higher T&D revenues and the acquisition of ESB. Our overall gross profit in the first half of 2015 was $61.1 million compared to $57.6 million in the first half of 2014, primarily due to higher revenues. Gross margin decreased to 11.7% versus 13% in the first half of 2015. The decline in gross margin in the first half of 2015 was primarily due to the year-over-year changes in estimates of gross profit on certain transmission projects. For the first half of 2015, contract performance incentives, cost efficiencies, additional work and effective contract management resulted in improved contract margins on several projects primarily transmission and provided a gross margin benefit of 1.1%. For the first half of 2014, cost efficiencies, additional work and effective contract management resulted in improved contract margins on several transmission projects and provided the gross margin benefit of 2.2%. EBITDA increased to $42.9 million or $2.03 per diluted share for the first half of 2015 compared to $39 million or $1.80 per diluted share for the first half of 2014. First half 2015 net income was $15.2 million compared to net income of $14 million in the first half of 2014. Diluted earnings per share were $0.72 for the first six months of 2015 compared to $0.64 for the first six months of 2014. We invested $29.7 million in property, plant and equipment in the first half of 2015 compared to $25.2 million in the first half of 2014. We expect our total 2015 capital expenditures to be similar to the levels of the last 2 years. Total backlog at June 30, 2015, was $410.7 million consisting of $275.8 million in the T&D segment and $134.9 million in the C&I segment. Total backlog at June 30, 2015, increased by $12.3 million from the $398.4 million reported at March 31, 2015. T&D backlog remained relatively unchanged while C&I backlog increased $12.2 million or 9.9%. The increase in C&I backlog at June 30, 2015, was primary due to the acquisition of ESB. Moving to the balance sheet, stockholders’ equity increased to $340.5 million at June 30, 2015, from $322.6 million at December 31, 2014. Our return on equity for the 12 months ended June 30, 2015 was 12.1% as compared to 11.8% for the prior year period. And our return on invested capital for the 12 months ended June 30, 2015 was 14.7% compared to 13.7% for the prior year period. At June 30, 2015, we had approximately $46.9 million in cash and cash equivalents, no outstanding funded debt and $155.7 million in availability under our credit facility. On July 30, 2015, we increased the capacity in our share repurchase program from $25 million to $42.5 million and extended the term of the program by one year through August 31, 2016. We have $25 million of remaining availability in our share repurchase program. In the first half of 2015, we spent approximately $1.8 million to purchase 72,706 shares of our common stock under this program. In conclusion, we had another solid quarter with growth in revenues, gross profit, net income, EPS and EBITDA. We expanded our geographic footprint through the acquisition of the E.S. Boulos Company, and opened additional offices across the country. We also commenced work on or first contract to perform construction services in Canada. We believe our strong balance sheet and borrowing capacity will allow us to continue our organic growth initiatives, consider additional acquisitions and support our share repurchase program. I will now turn the call over to Rick, who will provide an overall industry outlook and our view of MYR’s opportunities.
Rick Swartz: Thanks Paul and good morning everyone. As Bill and Paul discussed, our growth trend continued throughout the second quarter of 2015, as our business units executed contracts of all sizes and our project development teams evaluated and priced the pipeline of bidding opportunities. U.S. and Canadian utilities continue to invest heavily in the T&D infrastructure projects, not only in new construction services, but also in upgrades as well as maintenance and repairs driven by the ever-changing regulatory environment and the demand for clean, reliable energy. Because of this investment in the T&D infrastructure along with our C&I and T&D expansion and acquisition of E.S. Boulos, we are anticipating strong activity going forward and are confident we will build on the momentum we have gained in both of our market segments. Along with significant opportunities in small to medium-size transmission projects in the second quarter, we saw a number of large project proposals come out for bid. Among these projects is the first section of the Pioneer 765KV line and Nipsco’s 100-mile 345KV, Reynolds-Topeka project. Additionally, we continue to track several large interregional and multistate transmission projects in both the U.S. and Canada. As you know, these projects take years to develop and require extensive permitting. Earlier this year, the SunZia project, a 515-mile, 500KV project received a decision from the Department of Interior to move forward. In the second quarter, the TransWest Express 725-mile merchant line that is planned to run from Wyoming to Southern Nevada received its draft environmental impacts statement from the Department of Interior. This allows TransWest to move to the next step of receiving a record of decision on the project, which is a critical milestone and provides the need of confidence for selling capacity and moving towards construction. Both of these projects represent a large investment in long-haul merchant transmission line and their progress we believe is a positive indicator for other large merchant lines that are also in the planning and permitting phases. We have also seen an uptick in utility transmission and substation projects out for bid on an EPC or engineer, procure and construct basis versus the traditional design, bid, build process. Discussions with several large clients indicate that the trend is driven by significant increases in capital spending and internal resource constraints. We anticipate many of the FERC 1000 related projects will also come to market on an EPC basis. Our optimistic outlook for long-term transmission opportunities in the U.S. and Canada is supported by several industry sources whose spending projections for transmission indicate a robust market over at least the next 4 to 5 years. Transmission Hub’s June quarterly marketing update is currently tracking about $23.4 billion per year of transmission investments in the 2015 to 2018 timeframe. These figures include projects in the U.S. and Canada as well as several of the large merchant transmission lines that are still in the planning and permitting process. KeyBanc Capital Markets’ April transmission market report also supported a positive outlook for T&D spending projections over the next several years. The report noted RTO spending plans throughout the U.S. and Canada indicating a spending increase of 21.3% over the next 5 years as compared to aggregate spending during the 5 years ended in 2014. Other larger planned increases in spendings include ERCOT at a 30.6% increase and ISO New England at a 66.7% increase. In both regions, MYR is well-positioned with both strong operations and an impressive resume of successfully completed projects. We continue to track developments on the regulatory front that may affect our industry, including the final draft rules for the EPA’s clean power plant, which was released on August 3. The proposed rules will undoubtedly be challenged and there was no way to predict the final outcome of this rulemaking nor can we predict how various utilities will respond to these regulatory developments. Regardless of the final outcome, we anticipate that utilities will continue to change their power generation mix from predominantly coal to more natural gas and renewable resources. The integration of the new generation resources should require the construction of new generation facilities and additional transmission infrastructure. We believe that the main drivers for the current and forecasted strength in the T&D spending remains intact, including reliability mandates and an aging infrastructure, as well as renewable and natural gas generation integration on the electric grid. Distribution work also remains strong due in part to the need to replace aging infrastructure, reliability mandates and the improving housing market. However, competition remains intense in many regions. We continue to benefit from the ongoing trend by utilities to outsource distribution work to contract crews. We see increased activity with a number of our current clients and anticipate ongoing bidding opportunities with additional clients on new initiatives throughout the U.S. In the second quarter, we established new office in Southern California to pursue both distribution and transmission opportunities in that region. Shifting to our C&I business, while bidding opportunities in our key markets in both Colorado and Arizona remain strong, bidding margins remain competitive. As the country’s economy continues to improve, we are increasing our focus on C&I project, execution in new regions, including Utah, Nevada, Nebraska and as a result of the E.S. Boulos acquisition, Maine, Massachusetts, New Hampshire and Connecticut. Soon, we will be assisting key clients on data center expansions in Oregon, Texas, and Minnesota. This will let us consider additional expansion into these markets going forward. Our newly opened C&I offices in Alaska and Seattle are now fully operational and working on building new relationships, bidding work and securing contracts. Our growth will continue both organically and through a strategy of selective acquisitions. All of our growth will be supported by an established quality management team, continuous improvement and our ability to attract the best new talent through our successes. It may take a while for new business initiatives to be significant contributors to our bottom line. However, we believe the growth initiatives represent good investments for MYR. We are excited about the long-term strength we see in the marketplace and growth opportunities for MYR Group in our evolving industry. Thanks to everyone for your time today. I will now turn the call back to Bill who will provide some closing comments.
Bill Koertner: Thank you for that update, Rick. Our strategy for growing the business remains grounded in improving contracting principles. We need to be smart in picking our markets, remain disciplined in our bidding, assess the business and financial risk of each project and manage our contract and our cost and above all else execute our work safely and productively. We remain optimistic about the long-term growth prospects of all of our markets. Our proven track record, strong financial position and productive workforce positioned us to profitably grow the company on a variety of fronts. Not only do have one of the best fleets of specialty equipment in the industry, we also have the ability to further invest in our fleet tooling and human resource development. This should keep our cost structure competitive and ensure we have the assets needed to capitalize on opportunities. We are striving to be an even leaner, more competitive organization. So, we can provide even greater value to our customers and shareholders. Operator, we are now ready to open the call up for comments and questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Dan Mannes with Avondale Partners. Your line is now open.
Dan Mannes: Thanks. Good morning, everyone.
Bill Koertner: Good morning, Dan.
Dan Mannes: Hey, a couple of quick follow-ups. First, you commented – during the second quarter, you had some underperformance on some projects obviously margins were a little bit less than we were anticipating. Can you talk at all about maybe any of the causes there? And secondarily, are these projects that are likely to continue into future quarters or once they are mostly wrapped up intra-quarter?
Rick Swartz: I think a big portion of our, I guess, underperformance had to do with weather. And as we have evaluated and went through that, we would say that, that’s somewhere in that $1 million to $3 million range. We don’t see that continuing going into future quarters, but again we can’t control the weather, but that was how we kind of quantified the impact of that. Bill, do you have anything to add to that?
Bill Koertner: No.
Dan Mannes: Perfect. Secondly, I wanted to ask about the bid activity, you highlighted a couple of large jobs that are moving into bidding. Obviously, one of your competitors mentioned they were seeing some challenges with large projects they anticipated starting up this year sliding? Are you seeing similar activity as it relates to deferrals or are things kind of going along with pace you had previously anticipated?
Rick Swartz: I think we have said in previous quarters that we see the small to medium size work continuing. We always see that push out on larger projects. The permitting in the regulatory side seemed to push those out. We know there is a need for them. It’s just a timing issue.
Dan Mannes: So, you haven’t seen any change. It’s the deferral activity that happened in the past is continuing, but there hasn’t been an acceleration of deferral activity or anything like that?
Rick Swartz: Not that I have seen. I just think it continues. I wish we could always pick that date. We know there is a backlog of work. I just wish we could control the ballot of when it came out.
Dan Mannes: Got it. And I just had one final caution on Canada again we are glad to see you, you ramping up on the job in Manitoba. But on a related project, you guys have previously been short-listed and for some reason you are no longer bidding that project as far as we know. I was wondering if there is any change in terms of your approach to that market or if something specific had happened on Bipole III?
Rick Swartz: Nothing specific on Bipole III, I think it’s like any other project we evaluate, we evaluate the resources, the need, the timing of it, everything else and we are going to take on a project, we are going to put a plan in place that we know will be successful. So, it’s more of a disciplined approach.
Dan Mannes: Got it. Thank you very much.
Operator: Thank you. Our next question comes from the line of Justin Hauke with Robert W. Baird. Your line is now open.
Justin Hauke: Good morning, guys. Maybe I will ask about the increase in the buyback authorization since that’s new and obviously you didn’t make any share repurchases during the quarter because of the acquisition. But I guess I am just trying to understand how should we interpret the company’s view towards the buyback, you have been doing that fairly regularly now for the last year? And is the increased authorization a signal that this is going to be a permanent source of kind of your capital deployment strategy?
Paul Evans: Justin, I think you asked a number of questions. So, I will try and take them in reverse. I mean, we think it’s a good value for our shareholders to have a share repurchase plan in place. It provides a good implied return on investment. And so whether or not it continues on past August 2016, that’s something that management will take up with the Board every time we meet with them. You did state about that we didn’t buy any shares because of the acquisition of the ESB that’s not correct. We didn’t buy any shares, because the price didn’t hit where our pre-filed grid was. So, obviously, we buy when it hits that price and we don’t buy when it doesn’t.
Justin Hauke: Great. And thanks for that clarification. And I guess my second question is just looking at the balance sheet and the cash flow, last year you had really strong cash flow. This year it’s running a little bit behind. If we look at the working capital, your increasing cost and estimated earnings on billings, in excess of billings, has been rising. Is there anything we should read on that or is that just a timing issue and you would expect the second half cash flow to be stronger than the first?
Paul Evans: Well, I don’t think there is anything you should read into that. I mean, our rights to bill or what we call under billing I think are fine. Mostly, it’s really a timing issue when we get billing in. Usually, we see a lot of billings happen in the first part of every month. Obviously, June 30 is the cut off date for reporting period. So, I wouldn’t think you should look any further into that and yet the history of that AR balance sheet we used upon as you saw growth in our AR and also under billing.
Justin Hauke: Okay, great. Thanks. That’s all I have right now. Thank you very much.
Operator: Thank you. Our next question comes from the line of William Newby with D.A. Davidson. Your line is now open.
William Newby: Hey, guys. Willam Newby here for John Rogers. Just I was hoping you guys could give us some color regarding the segment growth and maybe how much of that was organic versus through acquisition?
Bill Koertner: We haven’t previously sort of broke down what the results are by our subsidiary level and I think that’s what you are getting at right here. I think you could refer back to our prior press release on ESB, E.S. Boulos on backlog and on revenues we gave a range on that. So, I think you could sort of take that and derive a close number that way. I mean, the business is performing as we had expected and hoped. And what I talked about on our prior call is about 60% of the business is C&I, 40% of the business is T&D.
William Newby: Perfect. Thank you.
Operator: Thank you. Our next question comes from the line of Min Cho with FBR Capital Markets. Your line is now open.
Min Cho: Great, thank you. Actually, my question had to do with the C&I business, it looks like there was a pretty significant increase in the percentage of revenue from fixed price contracts. Want to know if that had to do with ESB or just a change in the industry or function of the type of sectors or geographies that you are in?
Bill Koertner: I wouldn’t say it’s really to do with ESB although that we saw growth in that segment as a result of ESB. I mean, it’s just a function of the work that we are performing at this period in time. To me, it doesn’t – I don’t really read into that, that we have more fixed price work relative to other work though.
Min Cho: Okay. And in terms of the E.S. Boulos, I understand the revenue breakout. Should we assume that same or similar breakout for backlog as well?
Bill Koertner: I think it’s probably fair to do that, yes.
Min Cho: Okay, and then it would suggest that your T&D backlog was maybe down a little bit organically on a year-over-year basis?
Paul Evans: Using that – yes, using that allocation, you could say that.
Min Cho: Okay. Actually, I think that is it from me. Thank you.
Paul Evans: Okay. Thanks, Min Cho.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Tahira Afzal with KeyBanc. Your line is now open.
Tahira Afzal: Hi, folks good morning.
Bill Koertner: Good morning, Tahira.
Paul Evans: Good morning, Tahira.
Tahira Afzal: And thanks for the free plug-in on your prepared commentary, much appreciated. So, I guess my first question is really in regards to the margin line, I am really thinking about electric transmission. And in the previous calls, you have kind of pointed to the last few years as kind of reasonable bookends for your margin range. Does that still hold going forward? And in terms of timing if I really look at the upward end of that bookend, is that still a possibility over the next six months? Are you going to carefully build towards that depending on really the utilization on larger projects?
Bill Koertner: Tahira, for me it’s a function of what’s our business mix between transmission, distribution and C&I. If distribution in C&I continues to grow obviously the range as I have said previously will be hard to stay within that range. And also, if some of the larger transmission jobs that we are bidding on if they come to pass, they have a higher level of pass-through costs. So, our overall contract margin will come down as a result of that.
Paul Evans: Tahira, maybe to add a little further color on that, certainly, we’ve get plenty of competition in the transmission market, as well as the distribution in C&I market. On the transmission side, with all that work that all of us had in Texas for the [indiscernible] work may end up turning out to be a mixed blessing. We all enjoyed the benefit of that, but that created a bunch of new players that haven’t gone away and they have branched out of Texas and have entered new markets. So, we definitely have plenty of competition outside of Texas, that Texas hasn’t absorbed all of that capacity of the equipment and people. So, that has added to the competition that all of us face.
Tahira Afzal: Got it, okay. That makes a lot of sense for the net. It’s great to see you that you finally made some meaningful headway in Canada starting out with something that’s a real small size, but now that you do have some traction there, as you know there are some pretty large projects there. In a couple of years, could you give us an idea of what your scope in this market could potentially be, from what I gather it could be, 5 times to 10 times the size or am I just pushing my limits?
Rick Swartz: I think we strived it to grow. We are going to grow as smart as Bill always says. We are going to do – we are going to take a disciplined approach. We are going to see what the market is like. We will continue to bid work, see what the workforce is like. We are going to evaluate the projects as we go forward and we will push it as hard as we can, but not to sacrifice results.
Tahira Afzal: Got it. But would you say on the transmission side, would you say, it could potentially, from where you stand right now be one of your fastest growing markets and in terms of scope, how would you size that 2 years, from a 2-year to 3-year opportunity size versus maybe a more traditional buckets in the U.S.?
Rick Swartz: We don’t announce where we project certain markets or what kind of revenue we can get from them. But we do think it’s a viable market. We do want to be there and compete. And I guess with that being said, we hope to be stronger in the next few years up there.
Tahira Afzal: Got it, okay. And my last question is really on the C&I side, I thought the data center commentary was very interesting, clearly a market that could potentially see by a long-term positive secular trend, Bill can you comment a bit more on which regions you would like to go in from a sort of longer-term perspective?
Bill Koertner: I will start on that and then Rick can help too. Obviously, we are trying to follow our customers. We build some really good relationships with the work we have done in the West. And as those customers move into other markets, we would like to go with them. So it isn’t like necessarily 100% we pick the market and then try to set up an office and go find work. We want to follow our customers to where ever they might take us. So that probably is going to drive more of our target marketing and us trying to fix something independent.
Tahira Afzal: Got it. Thank you.
Operator: Thank you. I am showing no further questions. I would now like to turn the call back to Mr. Bill Koertner for closing remarks.
Bill Koertner: Well, thank you. I appreciate everybody being on the call this morning. On behalf of Paul, Rick and myself, I sincerely thank you. And look forward to updating you on our progress next quarter.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude today’s program. You all disconnect. Everybody have a great day.